Operator: Good day, and welcome to the Innovative Solutions and Support Second Quarter 2025 Results Conference Call and Webcast. All participants will be in the listen-only mode. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Paul Bartolai, Head of Investor Relations. Please go ahead.
Paul Bartolai: Thank you. Good morning, everyone, and welcome to Innovative Solutions and Support's second quarter 2025 results conference call. Leading the call today are CEO, Shahram Askarpour, and CFO, Jeff DiGiovanni. Yesterday, we issued a press release detailing our second quarter 2025 operational and financial results. This release is publicly available in the Investor Relations section of our corporate website at www.innovative-ss.com. I would like to remind you that management's commentary and responses to questions on today's conference call may include forward-looking statements, which by their nature are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results could differ materially. For a discussion of some of the factors that could cause actual results to differ, please refer to the Risk Factors section of our latest reports filed with the SEC. Additionally, please note that you can find reconciliations of all historical non-GAAP financial measures mentioned on this call in the press release issued yesterday. Today's call will begin with prepared remarks from Shahram, who will provide a review of our recent business performance and strategic outlook, followed by a financial update from Jeff. At the conclusion of these prepared remarks, we will open the line for your questions. And with that, I'll turn the call over to Shahram.
Shahram Askarpour: Thank you, Paul, and good morning, everyone, joining us on the call today. Let's begin with a high-level overview of our second quarter financial performance. During the second quarter, we delivered growth in revenue of just over 100%, driven by momentum from our new military programs, including significant growth from our F-16 program and contributions from our legacy platform. As we discussed last quarter, we have been seeing improved trends in our commercial business. As expected, this translated to improved results this quarter with notable strength in our air transport business. Our EBITDA increased by over 200% and profit by over 300% from last year, highlighting the significant operating leverage in our business as we continue to grow. We are building a platform of scale with meaningful opportunity for EBITDA margin expansion as we grow the business. Our business momentum remains strong with a backlog of approximately $80 million as of March 31, 2025. We were pleased with our strong second quarter results. The trends in our core business remain strong. We are successfully executing our strategy to build a significant growth business. To that end, I would like to shift the discussion to an update on our progress on the IS&S Next, our long-term value creation strategy. As a quick refresher, our strategy centers on a combination of targeted commercial growth within high-value markets, improving operating leverage and a disciplined returns-driven approach to capital allocation. We continue to execute against our initiatives during the quarter and I would like to take a moment to highlight just a few of the key achievements. As we have discussed, we have placed the priority on expanding our military business. In support of this objective, we've continued to make investments in both infrastructure and systems capabilities to support the high-performance requirement of our defense customers. During the second quarter, we completed the integration of our ERP system, we further expanded our more robust IT infrastructure and strengthen our security and accounting services to make us compliant with Defense Federal Acquisition Regulation Supplement, or DFARS, requirements. These are necessary investments as we continue to bid on larger DoD programs. We continue to expect at least 40% of our revenue to come from military customers during fiscal 2025 and we are excited by our progress and the opportunities that lie ahead of our military business. We also have made further progress on the expansion of our Exton, Pennsylvania facility and remain on track for completion of the project by mid-2025. When complete, we will have doubled our footprint and increased our production capabilities by more than three-fold. The building construction is near completion and the preparation for clean room production environment will commence by the end of May. As a reminder, we manufacture 100% of our products in our Exton facility. With the ongoing trade uncertainty and priorities of the current administration, we should be in an enviable position given the likely significant push for reshoring of manufacturing and an America-first mentality. During the second quarter, we continued with the integration of our most recent acquisition from Honeywell. As we discussed last quarter, much of the spending and the integration activities are being done ahead of the expected growth from these platforms. The integration is also resulting in some duplicative costs as we transition the manufacturing of products into our Exton facility. Importantly, the integration is progressing and we are excited by the opportunities from this acquisition. While we have spent a lot of effort on our military opportunities, we remain encouraged by the growth opportunities across our commercial air transport and business aviation markets. Our goal to achieve a larger percentage of our new production aircraft or OEM business is also being satisfied through organic product growth as well as our strategic acquisitions such as the F-16 product line. Even though it has been a couple of quarters since we have announced the transaction, deploying capital for strategic acquisitions remain a key priority. Although our most recent acquisitions have been focused on complementary product lines from larger avionics suppliers, we continue to evaluate opportunities to acquire small avionics manufacturers where we anticipate synergies will be realized by incorporating their outsourced production in our facility. We have demonstrated a track record of successfully scaling our business through a combination of organic growth and capital deployed for acquisitions. Since 2020, we have completed four acquisitions to complement our organic growth strategy. Over this period, we have grown our revenue and net income from $22 million and $3.3 million, respectively, during fiscal 2020 to well over $60 million in revenue and $9 million in net income during fiscal 2025 based on our stated forecast for greater than 30% growth. Given our capital-light model and strong free cash flow generation, we have been able to generate this growth while maintaining modest leverage. We are proud of what we have accomplished and are positioning the company for continued growth going forward. Despite recent margin pressure due to acquisition related costs and inventory adjustments as well as inherent lower gross margins in defense products, we expect EBITDA and profit margins to grow steadily. We are further establishing our company as a premier systems integrator in flight navigation and precision instrumentation with cutting-edge technology. A vertically-integrated U.S.-based production provides a competitive advantage, fostering relationships with key aircraft manufacturers, operators and defense organizations. In summary, we are encouraged by the progress we have made on our strategic priorities and remain committed to continuing to execute on our plan. During the quarter, we doubled our revenue, tripled our EBITDA and quadrupled our profit from a year ago. As a result of our success, we remain on track to deliver on our goal to generate both revenue and EBITDA growth of greater than 30% when compared to fiscal year 2024. We are excited by everything we have accomplished and are confident we are strategically positioned to continue generating profitable growth. With that, I'll turn the call over to Jeff for his prepared remarks.
Jeff DiGiovanni: Thank you, Shahram, and good morning to all those joining us. Today, I will provide a high-level overview of our second quarter performance, including a discussion of our working capital, balance sheet and liquidity profile at quarter-end. We generated net revenues of $21.9 million in the second quarter, more than double our revenues during the second quarter last year. The increase was driven primarily by contribution from the recently acquired Honeywell military product line, which contributed $10.8 million and growth in our air transport market. Our results during the quarter benefited from some pull-forward of revenues under our F-16 program. We expect this dynamic could repeat again during our third fiscal quarter in anticipation of Honeywell ceasing production at its own facilities and transitioning that production to the company's facility. Product sales were $13.2 million during the second quarter, up significantly from product sales of $4.9 million from last year, driven primarily by the recent acquired military product line. Service revenue was $8.8 million, owing largely to customer service sales from the product lines acquired from Honeywell, including $3 million associated with the F-16 program and an increase of $700,000 in NRE programs, partially offset by lower legacy customer service revenue. Gross profit was $11.3 million during the second quarter, up from $5.6 million in the same period last year, driven by strong revenue growth and product mix, partially offset by higher depreciation expense resulting from the Honeywell acquisitions and continued investment. Our second quarter gross margin was 51.4%, down modestly from 52% in the same period last year, but up meaningfully on a sequential basis from the 41.4% gross margin reported in the first quarter. We generated more normalized gross margins under our Honeywell contracts, which was the main driver of improved gross margin relative to the prior quarter. We expect our gross margins to continue to be lumpy in the near term, as we continue to integrate the Honeywell product lines into our facilities. As we have discussed in prior quarters, there can be some duplicate costs as we prepare to integrate these products and the hiring and training of engineers and other staff to support these products. Additionally, as we have discussed previously as it relates to the product mix, generally military sales carry a lower average gross margin versus commercial contracts. However, importantly, there is a minimal operating expense associated with these contracts. So, the incremental EBITDA margins are strong. We saw an example of this during the second quarter as the incremental military revenues came through with little to no incremental SG&A expenses, resulting in meaningful operating leverage. Operating expense during the second quarter of 2025 was $4.3 million, a modest increase from $3.9 million last year despite the significant growth in revenue. The increase in operating expense was driven by approximately $300,000 from growth in our product development efforts in support of our long-term growth initiatives and $200,000 employee costs primarily to increased headcount, partially offset by $100,000 decrease in third-party and professional fees. Operating expenses represented 19.6% of revenue during the second quarter, a significant decline from 36.7% in the second quarter of last year, highlighting the opportunity for improved operating leverage as the business scales. Net income for the quarter was $5.3 million as compared to $1.2 million. GAAP earnings per share of $0.30 increased by over 300% from $0.07 with benefits from higher volume and increased operating leverage. EBITDA was $7.6 million during the second quarter, up from $2.1 million last year on an -- or an increase of 260%, largely due to our revenue growth and operating expense leverage. Moving on to backlog. New orders in the second quarter of fiscal 2025 were $20.8 million and backlog as of March 31 was $80 million. The backlog includes only purchase orders in hand and excludes additional orders from the company's OEM customers under long-term programs, including Pilatus PC-24, Textron King Air, Boeing T-7 Red Hawk, the Boeing KC-46A, and the F-16 with Lockheed Martin. We expect these programs to remain in production for several years and anticipate they will continue to generate future sales. Further, due to their nature, the customer service lines do not typically enter backlog. Now, turning to cash flow. During the second quarter 2025, cash flow from operations was $1.3 million compared to $200,000 in the year-ago comparable period. This increase was due to higher net income and changes in working capital accounts. Capital expenditures were $1.6 million during the second quarter of fiscal 2025 versus $100,000 in the same period last year. The increase in capital expenditures are primarily related to the facility expansion. As a result of the building expansion, free cash flow during the second quarter was negative $300,000 versus essentially flat free cash flow last year. Total net debt as of March 31 was $26.2 million. Our net leverage at the end of the quarter was 1.4 times. Our cash and availability under our credit line was $8.8 million at the end of the second quarter, which provides us financial flexibility to support our ongoing operations and facility expansion. That completes our prepared remarks. Operator, we are now ready for the question-and-answer portion of the call.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Gowshi Sri with Singular Research. Please go ahead.
Gowshi Sri: Good morning. Can you hear me?
Shahram Askarpour: Yes.
Gowshi Sri: Congratulations on a strong quarter. My question is, you mentioned that the Honeywell product lines were pulled forward and you're expecting that to carry on into Q3. Any color on the magnitude of these pull-forwards? And any -- and the FY '25 guidance of over 30% growth guidance that you guys alluded to in the last call, is that -- are you seeing any signs of order delays post transition?
Shahram Askarpour: We don't anticipate further delays post transition. It is -- there's a lot of moving parts with the transition of the Honeywell. They have supply chain issues obviously with delivering sufficient quantities to Lockheed before they can close the line and transfer it to us. We are working very closely with them. Our supply chain is engaged daily with their supply chain as well as Lockheed to make this a successful transition for Lockheed, because that's our customer and we will support them. In terms of our guidance that we gave for this year, I think, we're well into over 30% growth as we see it. And so, that's kind of where we are.
Gowshi Sri: Okay. The air transport revenue seems to have improved in Q2. Is this driven by new orders or deferred demand? What is the pipeline for commercial retrofits looking even amid this high interest if the interest rates stay kind of steady at this level?
Shahram Askarpour: To be quite honest, I really don't think the interest rates bear much on what we do. Obviously, delays in production of new airplanes, both from Airbus and Boeing due to their supply chain issues, is creating high demand for aftermarket upgrade of these airplanes. We're seeing benefits of that. And in the foreseeable future, we'll see -- we hope that that's going to -- that trend is going to continue.
Gowshi Sri: Okay. And so, on the gross margin level, sequentially, the rebound -- so as the Honeywell production transitions fully to external, should we expect the margins to stabilize near these levels? Or does the mix shift towards the military they're showing you with the 40% of sales, does that act as a headwind as we move towards -- still poses a headwind towards the rest of FY '25?
Shahram Askarpour: I mean, I think we've talked about this a number of times before with regards to gross margins. Gross margins are very volatile and kind of lumpy, as Jeff put it. And the reason for that is that product to acquisitions, the things that we build in here, we would sell them to target a certain gross margin. When we do acquisitions, the products that come in, the mix of the products have a large variability in gross margin. Some of them are very good, some of them are low. Then what we get is that in a quarter, depending on the mix, we would end up with some blended gross margin. And it really is difficult to predict because we don't know -- where we have backlog of orders, we know that, but with the new orders coming in, it's difficult to predict what kind of a margin we're going to get from that product mix. So, this is why we've been trying to steer everybody away from gross margins and put a focus on EBITDA margins and profit margins. I mean, quite frankly, I care about profit more than anything else.
Operator: Our next question comes from Doug Ruth with Lenox Financial Services. Please go ahead.
Doug Ruth: Good morning, Shahram and Jeff. Thank you very much for the comments. Congratulations on the fabulous report. I specifically think that you clarified some of the questions that were out there, and I appreciate you taking the time to offer some clarity. Did you specifically say what percent of the sales in the quarter were to the Department of Defense? Or can you give us that?
Jeff DiGiovanni: So, right now $21.9 million in sales, $10.3 million was associated with the F-16 piece. So that would be with the military side.
Shahram Askarpour: But then, we had our own.
Jeff DiGiovanni: We had our own -- I don't have that breakdown in front of me, but legacy was a little bit north of $11 million for the quarter, which includes air transport and business aviation along with military. And there's some military in the services as well because of our NRE projects and customer service repairs.
Doug Ruth: Well, it sounds like it's -- approximate at least half, which is of...
Jeff DiGiovanni: Yeah, I would say at least 40% is military, as we're experiencing.
Doug Ruth: And you had thought that like sort of as a run rate that it would be around 40%. Do you think that that is going to hold true for the year?
Jeff DiGiovanni: Yes.
Doug Ruth: Okay. And then, what about hiring, were additional people hired during the quarter?
Jeff DiGiovanni: Very, very little.
Doug Ruth: Okay.
Shahram Askarpour: We just hired another military salesperson as well.
Doug Ruth: Okay.
Jeff DiGiovanni: Post quarter.
Shahram Askarpour: Post quarter, yes.
Doug Ruth: Okay. Are you thinking that you're done hiring for the year or will there be additional people hired still this year, or has that not been decided?
Shahram Askarpour: I think that we continue to look for talented engineers. We continue to look for talented individuals that contribute to our organization. We are a growing business and you can't hire people after you've got the contracts because then it will be too late. So, we continue looking for talent. In terms of the hiring, we were doing to support the F-16 platform, that we are completed doing that. But there are other acquisitions that we're looking at. Also, we're looking at some significant growth from our base business. And so, we're constantly in a hiring mode.
Doug Ruth: Okay. And are you working through search firms? Are you advertising open positions on your own website or LinkedIn or...
Shahram Askarpour: Everywhere, yes. So, we -- I think every job posting is on our website, as well as depending on the position, we do work with some recruiters. We have an inside recruiter as well that works for our HR department. So, we do all.
Doug Ruth: Okay. Now, I know that clean rooms can be very complicated. Is there any concern about you completing your clean room? You specifically mentioned that during your comments, Shahram.
Shahram Askarpour: Now, it's just -- obviously our production floor here is a clean room facility. We're just expanding it. It's not part of the original building that -- the contractors that are building the building for us, they build a structure and paint it and all of that, which are almost done. And then, we go in there and we got to put anti-static flooring down and put some partition walls, some soundproofing walls for some areas and those kinds of things, which we do routinely.
Doug Ruth: Okay. So, you feel like you've got it under control?
Shahram Askarpour: Yes.
Doug Ruth: What about the -- did you mention the status of the next-generation utility management system? That was something that you had generally been talking about.
Shahram Askarpour: I guess I didn't put anything in there. It is going on track. They're still planning on doing some flight testing on it over the next month. And the project is, we're finishing some qualification testing and getting it ready for flight tests.
Doug Ruth: Okay. I really like your strategy -- the acquisition strategy of using reverse engineering, because over and over when we hear about one company buying another company, part of it is, let's instead of having the products made in America, let's see if we can get them made somewhere else at a lower cost. So, the fact that you are, let's bring the stuff here to Pennsylvania and let's take cost out of it, I think that that really plays to the company's competitive advantages. Are you -- are there any -- are you close to any additional acquisitions at this point specifically with that strategy?
Shahram Askarpour: Yes. We're always evaluating some and we're also looking at some potentially foreign companies that we may buy and bring their production into United States. The theory of outsourcing somewhere cheap is like you ship your problem somewhere else where it's outside your control. And it's your customers that end up suffering. So, we've kind of always -- the philosophy of the company has always been to steer away from that.
Doug Ruth: Okay. And then, Jeff, as far as financial covenants, do you feel that you have those set up properly that you're comfortable that you're maintaining the covenants?
Jeff DiGiovanni: Yes. The covenants, I mean, we're -- we have a lot of headway in the covenants, so feel very confident where we are with our covenants.
Doug Ruth: You folks deserve a lot of credit. You really performed exceptionally well. And I'm grateful for what you're doing for the shareholders, and congratulations to both of you and to your teams. Thank you for answering my question.
Jeff DiGiovanni: Thank you very much.
Shahram Askarpour: Thank you very much.
Operator: Our next question comes from Andrew Rem with Odinson Partners. Please go ahead.
Andrew Rem: Hey, gentlemen. I just want to -- since you guys won't say it, I'll say it, which is, in regard to Doug's comment, manufacturing in the U.S., you're smarter than Trump. So, there we got that on the table. My question on revenue, Jeff, you had said, in the quarter $10.8 million came from acquisitions and then later you said about $3 million on the F-16 for customer service. So, if I parse those two between product and customer service, am I right that from the acquisition, $7.8 million for product and then $3 million for customer service, is that -- am I getting that right?
Jeff DiGiovanni: So, it's $10.8 million in total, of which $3 million was customer service, so the delta is $7.8 million is product.
Andrew Rem: Okay. Got it. And then, $6 million CapEx, that's still a good number for the full year?
Jeff DiGiovanni: Yes.
Andrew Rem: And then sequentially, D&A was down because I think it went from like $1.3 million down to, I want to say, about $700,000. What's kind of a normalized level?
Jeff DiGiovanni: For G&A?
Andrew Rem: D&A, sorry, depreciation and amortization.
Jeff DiGiovanni: Oh, I would say when you add those two together looking at that and then that would be our normalized level for six months, look at the six month period. So, depreciation went down a little bit because we had amortization changes on our last acquisition during that period where we had to reassess and look at the items to make sure it was correct with the valuations. So, we'll be closing that valuation period next quarter and that should settle.
Andrew Rem: And then, for the third quarter kind of pull-forward in revenue, would you expect that to be kind of similar magnitude or much smaller?
Shahram Askarpour: I think given that a good chunk of it is tied into Honeywell supply chain, it's really difficult for us predict that, but I don't anticipate a huge swing.
Jeff DiGiovanni: Right. We don't expect a huge swing between Q2 right now and Q3.
Andrew Rem: So...
Shahram Askarpour: It's really hard to predict.
Andrew Rem: Okay. So then, we should at least sequentially in the fourth quarter expect a fairly meaningful decline?
Shahram Askarpour: I don't expect a meaningful decline. Barring something goes completely wrong with the supply chain, I don't see -- there's -- we have $80 million in backlog as of end of March. So -- and as long as we can execute and even for the transition, if it goes per plan that Honeywell has put in place and they get the material from their supply chain on time, there really shouldn't be much variations, but there was a lot of ifs there.
Andrew Rem: Okay. And then, can you just comment on, in terms of making the transition, I think previously you guys had said kind of in the summer. So, about the time that the facility expansion is completed, so it sounds like construction is nearly complete and then you've got some move-in and that kind of stuff. Should we be thinking that the integration of Honeywell will be largely complete sometime later in the summer? Is that the rough timeline?
Shahram Askarpour: That is our plan.
Andrew Rem: Okay. All right. Well, great quarter you guys. You guys are doing a fantastic job with the team. So, appreciate it. Thank you.
Shahram Askarpour: Thank you.
Operator: We have a follow-up question from Gowshi Sri with Singular Research. Please go ahead.
Gowshi Sri: Thank you. My follow-up is on this ERP system. Does that -- as that goes on live, will that improve productivity gains on inventory management labor costs? Is that SG&A looking to go below 50% in FY '26?
Jeff DiGiovanni: So, any ERP implementation, you still have some tweaks you got to do on a go-forward basis. Our goal is to really utilize data to create actual data to make business decisions. And previously, the data was -- we had to really work to get the data and the answers. So, I think you'll see improvements from our productions -- when I would say production in terms of getting the data and making the right business decisions on a go-forward basis. Now, how does that translate into the P&L? It's too soon to know what those impact will be.
Gowshi Sri: So, on a quarterly basis, that SG&A level is going to be look -- still look around $3 million to $4 million?
Jeff DiGiovanni: That's correct. I mean, keep in mind, we're still -- the company is growing, the organization is growing, so you're always going to have some additional costs.
Gowshi Sri: Got you. And on the Exton's capacity, which is going to hit triple by mid-2025, what kind of utilization rate is needed to kind of achieve that mid-30% growth on the top-line and is that at the EBITDA level given that -- how does the current backlog support this?
Jeff DiGiovanni: So, right now, the 30% growth is based on everything that we have here today and it really excludes a lot that the new building could produce.
Gowshi Sri: Okay.
Jeff DiGiovanni: The new building and the facility, we could do about $250 million, we project in revenue of this building.
Gowshi Sri: Got you. Thanks for that, and congratulations.
Operator: Thank you. This concludes our question-and-answer session. I would like to turn the conference back over to Shahram Askarpour for any closing remarks.
Shahram Askarpour: Thank you, operator, and thank you all for your time and interest in IS&S. Have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.